Operator: Ladies and gentlemen, thank you for standing by. Welcome to The TJX Companies, Inc. Third Quarter Fiscal 2026 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. At that time, if you have a question, you will need to press star 1. This conference call is being recorded, 11/19/2025. I would now like to turn the conference over to Mr. Ernie Herrman, Chief Executive Officer and President of The TJX Companies, Inc. Please go ahead, sir. Thanks, Courtney.
Ernie Herrman: Before we begin, Deb has some opening comments.
Operator: Thank you, Ernie, and good morning. Today's call is being recorded and includes forward-looking statements.
Deb McConnell: About our results and plans. These statements are subject to risks and uncertainties that could cause the actual results to vary materially from these statements, including among others, the factors identified in our filings with the SEC. Please review our press release for a cautionary statement regarding forward-looking statements as well as the full Safe Harbor statements included in the Investors section of our website, tjx.com. We have also detailed the impact of foreign exchange on our consolidated results and our international divisions in today's press release and in the Investors section of tjx.com along with reconciliations to non-GAAP measures we discuss. Thank you. And now I'll turn it back over to Ernie.
Ernie Herrman: Good morning. Joining me and Deb on the call is John. I'd like to start by thanking our global associates for working together to deliver our shoppers an exciting assortment of merchandise at excellent values every day. I truly appreciate their continued hard work and dedication to The TJX Companies, Inc. Moving to our third quarter performance, I am extremely pleased that comp sales, profitability, and earnings per share were all well above our plan. Our overall comp sales increase of 5% was driven by strong comp sales growth across each of our divisions. Clearly, our value proposition continued to resonate with consumers in The United States, Canada, Europe, and Australia. And we are confident that we gain market share across each of these geographies. With our above-plan results in the third quarter, we are raising our full-year guidance for sales and profitability. John will detail our results and guidance in a few minutes. As to the fourth quarter, we are off to a strong start and as always, we'll strive to beat our plans. I am very excited about the initiatives we have underway for the holiday season. We are convinced that we will keep attracting shoppers to our retail banners. Availability of quality branded merchandise has been exceptional and we are in an excellent position to flow a fresh assortment of goods to our stores and online. We feel great about the strength of our business and are confident that our flexibility, wide customer demographic, and focus on value will continue to be a tremendous advantage. I'll talk more about our fourth quarter opportunities in a moment, but first, I'll turn the call over to John to cover our third quarter results in more detail. Thanks, Ernie. I also add my gratitude to all of our associates for their continued hard work and commitment to The TJX Companies, Inc.
John Klinger: Now I'll share some additional details on the third quarter. As Ernie mentioned, our consolidated comp sales growth of 5% came in well above our plan. This was driven by a combination of a higher average basket and an increase in customer transactions. Further, we saw strong comp increases in both our apparel and home categories. Third quarter pre-tax profit margin of 12.7% was up 40 basis points versus last year and well above our plan. Gross margin increased 100 basis points versus last year. This was due to an increase in merchandise margin, primarily driven by lower freight costs, expense efficiencies, and expense leverage on sales. Importantly, we are very pleased with our mitigation strategies which allowed us to offset all the tariff pressure we saw in the third quarter. SG&A increased 60 basis points versus last year. This was due to incremental store wage payroll costs, a contribution to the TJX Foundation, and higher incentive compensation accruals. Net interest income negatively impacted pre-tax profit margin by 10 basis points versus last year. Third quarter diluted earnings per share of $1.28 increased 12% versus last year and was also well above our expectations. Lastly, we are extremely pleased with our third quarter pre-tax profit margin came in 60 basis points above the high end of our plan. In the third quarter, merchandise margin was stronger than we expected driven by lower freight costs, and we saw a benefit from expense leverage on the above-plan sales. Further, with our above-plan results, we had higher incentive compensation accruals and made a contribution to the TJX Foundation. Now to the third quarter divisional performance. At Marmaxx, comp sales grew by an outstanding 6% with strong increases in both our apparel and home businesses. It was also great to see strength in our store performance across all regions and income demographics, which speaks to the broad-based appeal of our values. The comp increase was driven by a higher average and growth in customer transactions. Marmaxx's segment profit margin was 14.9%, up 60 basis points versus last year. We were also pleased with the results at our Sierra stores and U.S. e-commerce businesses which we report as part of this division. We are extremely pleased with Marmaxx's momentum and continue to see terrific opportunities for our largest division to grow its footprint and capture additional market share. At HomeGoods, we continue to see very strong sales momentum with comp sales up 5%. Segment profit margin improved to 13.5%, up 120 basis points versus last year. With our highly differentiated mix of home fashions from around the world, at our HomeGoods and HomeSense banners we are confident that consumers will continue to be drawn to our stores. Further, we see a significant opportunity to further grow our store base and attract more customers which we believe will allow us to capture a bigger piece of the U.S. home market. TJX Canada's comp sales increased an outstanding 8%. Segment profit margin on a constant currency basis was 14.9%, down 20 basis points versus last year. Which was driven by unfavorable transactional foreign exchange. As the leading off-price retailer in Canada, our Winners, HomeSense, and Marshalls banners have excellent brand awareness and strong customer loyalty. We believe our position as a top value retailer in Canada sets us up very well to continue our growth in this country for many years to come. At TJX International, comp sales grew 3% with increases in both Europe and Australia. Segment profit margin on a constant currency basis increased to 9.2%, up a very strong 190 basis points versus last year.
Ernie Herrman: We are convinced that we will continue to gain market share across
John Klinger: both Europe and Australia. Looking ahead, we're excited about our growth plans in our existing countries and our planned entry into Spain in 2026. Moving to inventory. Balance sheet inventory was up 12% and inventory on a per-store basis was up 8% versus last year as we've been buying into the excellent opportunities for quality branded merchandise we've been seeing in the marketplace. Availability of quality merchandise has been terrific. And we are strongly positioned to flow fresh assortments for our stores and online this holiday season. As to capital allocation, we continue to reinvest in the growth of the business while returning $1.1 billion to shareholders through our buyback and dividend programs in the third quarter. Now I'll turn it back to Ernie.
Ernie Herrman: Thank you, John. Now I'd like to highlight some of the opportunities that we see to drive sales and transactions in the fourth quarter. First, I am convinced that our retail banners will be a shopping destination for value-conscious shoppers this holiday season. As always, we believe consumers will see compelling values throughout the store every time they visit us. We see this as a major differentiator as our customers can shop our excellent values every day and not have to wait for sales, or promotional days like they do for many other retailers. Second, we believe we are strongly positioned to be a top destination for gifts. With the excellent availability of merchandise we have been seeing, we are confident that we will have a very exciting assortment of gifts this holiday season. Importantly, we plan to have gifting options across good, better, and best brands so our shoppers can find something for everyone on their list. At prices that fit their budget. Additionally, after the holidays, we will remain focused on being a gifting destination year-round. Next, we will be flowing fresh selections to our stores and online multiple times a week throughout the holiday season. We believe this differentiates us from many other major retailers as our ever-changing mix of merchandise allows shoppers to see a new assortment every time they visit. Further, we believe this may encourage shoppers to visit our stores more frequently to see what's new. I am also excited about our post-holiday initiatives to transition our stores to the categories and trends that we believe consumers want.
John Klinger: Lastly,
Ernie Herrman: we are excited about our holiday marketing campaigns. We recently launched our campaigns across a variety of media channels with an emphasis on digital. At every division, we believe our campaigns position us as a destination for holiday decor and inspiring gifts at terrific values.
John Klinger: Further,
Ernie Herrman: we are targeting a wide consumer demographic to emphasize that our values are available to all shoppers, to all our shoppers every day. We believe our campaigns will keep our retail brands top of mind and may encourage cross-shopping of our banners and attract new customers this holiday season.
John Klinger: Now I'd like
Ernie Herrman: to quickly summarize the key reasons why I am so confident that we are in an excellent position to continue our global growth and increase market share over the short and long term. First, we're convinced that consumers will continue to seek out value. Our value proposition of brand, fashion, quality, and price sets us apart from many other retailers and has served us extremely well through many kinds of retail and economic environments over the course of our nearly fifty-year history. Second, we successfully operate stores across a very wide customer demographic. We curate each of our stores individually to appeal to shoppers across various income and age demographics. Further, we continue to see our customer growth driven by both attracting and retaining shoppers across age groups. Next, we are confident that the flexibility of our buying, planning, and allocation, store formats, systems, and supply chain will continue to be a key advantage.
Operator: Fourth,
Ernie Herrman: we still see significant store growth ahead with a long-term store target of 7,000 stores just for our current countries and Spain. Additionally, with our joint venture in Mexico and investment in The Middle East, we have further expanded our off-price reach around the world. All of this gives us great confidence that we have a tremendous opportunity to capture additional market share globally.
Operator: Fifth,
Ernie Herrman: I am extremely confident that there will be more than enough quality branded inventory in the marketplace to support our growth plans. As a growing retailer around the world, vendors can use our nearly 5,200 stores as a way to clear excess inventory, grow their business, and introduce their brands to new consumers. Next, we are convinced that the appeal of in-store shopping is here to stay. We see our treasure hunt shopping experience as an important advantage and believe it will continue to resonate with consumers. Further, we make it very easy for our customers to shop our banners by locating our stores in convenient, easy-to-access locations, and offering them the ability to shop multiple categories across our store very quickly. Most importantly, I truly believe the depth of off-price knowledge and expertise within The TJX Companies, Inc. is unmatched. We have many leaders across the company with decades of off-price experience who are laser-focused on driving the current business at a very high level while also teaching and developing the next generation of TJX leaders. We also have a very deep bench which gives us the ability to rotate talent between divisions and geographies. Finally, I am so proud of our culture. Which I believe has been a major contributor to our long history of strong performance. Summing up, we are extremely pleased with the overall performance of The TJX Companies, Inc. in the third quarter and the momentum of the business entering the holiday season. I am so proud of the continued execution of our teams around the world and their relentless focus on our value commitment to our shoppers. We remain convinced that we have significant opportunities for growth and believe we can continue to capture market share around the world for many years to come. Finally, I am pleased to share that during the third quarter, we published our 2025 Global Corporate Responsibility Report. The report covers our ongoing work across four key areas: workplace, communities, environmental sustainability, and responsible sourcing. We invite you to learn more by visiting our website tjx.com. Now I'll turn the call back to John to cover our fourth quarter and full-year guidance. And then we'll open it up for questions.
John Klinger: John? Thanks again, Ernie. I'll start with our fourth quarter guidance where we are planning overall comp sales to increase 2% to 3%, consolidated sales to be in the range of $17.1 billion to $17.3 billion, pre-tax profit margin to be in the range of 11.7% to 11.8%, up 10 to 20 basis points versus last year's 11.6%. Gross margin to be in the range of 30.5% to 30.6%, flat to up 10 basis points versus last year. SG&A to be in the range of 18.9%, which would be 30 basis points favorable versus last year. We're assuming net interest income of $26 million which we expect to delever fourth quarter pretax profit margin by 10 basis points. Our fourth quarter guidance also assumes a tax rate of 25.4% and a weighted average share count of 1.12 billion shares. Based on these assumptions, we expect fourth quarter diluted earnings per share to be in the range of $1.33 to $1.36, up 8% to 11% versus last year's $1.23. Moving to the full year. We now expect overall comp sales to increase by 4%. We are increasing our full-year consolidated sales guidance to a range of $59.7 billion to $59.9 billion. This increase reflects the flow-through of the above-plan sales in the third quarter. We are increasing our full-year pre-tax profit margin guidance to 11.6%, up 10 basis points versus last year's 11.5%. Moving to gross margin, we now expect it to be 30.9%, up 30 basis points versus last year's 30.6%. We now expect full-year SG&A to be 19.5%, a 10 basis points unfavorable versus last year. We're assuming net interest income of $111 million which we expect to delever fiscal 2026 pretax profit margin by 10 basis points. Our full-year guidance assumes a tax rate of 24.5% and a weighted average share count of approximately 1.13 billion shares. As a result of these assumptions, we're increasing our full-year diluted earnings per share to be in the range of $4.63 to $4.66, up 9% versus last year's diluted earnings per share of $4.26. In terms of tariffs, we're assuming that the current level of tariffs on imports into The US will stay in place for the remainder of the year. As such, our guidance assumes that we will be able to continue to offset the tariff pressure on our business in the fourth quarter. In closing, I want to reiterate Ernie's confidence in our plans for the remainder of the year and our long-term opportunities going forward. I want to emphasize that we remain in an excellent position to continue to invest in the growth of our company while simultaneously returning cash to our shareholders. Now we're happy to take your questions. As a reminder, please limit your questions to one per person so we can answer as many questions as we can. Thanks and now we'll open it up to questions.
Operator: Thank you. To join the queue, press 1. Our first question comes from Brooke Roach from Goldman Sachs. Good morning and thank you for taking our question. Ernie, I'd love to hear a little bit more about what gives you confidence in continuing to deliver the comp momentum as we come up into a tough compare for the holiday season.
John Klinger: And then
Operator: can you also give a little bit of commentary on what the benefit was to comp in the quarter from AUR and pricing growth and what your plans are for pricing and price gaps as you deliver value into the holiday season. Thank you.
Ernie Herrman: Sure, Brooke. Well, in the comp momentum, you can see we've been kind of building momentum for a bit now, right? It's going back a number of months. I think when you look around the board here, at the opportunity to deliver a shopping experience and merchandise, that is branded at tremendous value across good, better, and best. And then you look at the lack of that customer mission being serviced really by anybody else around us. Nobody is really doing that. So, and I'm talking good, better, best, branded. At tremendous value. In a shopping environment, which I think over the last decade has become more important to consumers in terms of not only the merchandise but our shopping environment is very pleasant. Our associates are very accommodating. They're happy. We're providing, I think, an overall pleasant, exciting treasure hunt shopping experience. Even if they're running for treasure hunt. Our consumers, and we have data on this, really enjoy shopping. It's a very positive experience. And contrast that with what's happening around us, And I think ultimately that's why our formula just bodes well in terms of confidence in our comp momentum. Yeah. John, did you want to jump in? Yeah. I mean, just to give you some color on the cadence and the build of the comp.
John Klinger: So the cadence in the quarter was very consistent by month, which was really nice to see. As to transactions, and basket, both transactions and basket were up with basket driving a little bit more of the comp within And within basket, ticket was the driver.
Ernie Herrman: Does that help you, Brooke, with that part of that question?
Deb McConnell: Yes. Very helpful. Thank you.
Ernie Herrman: Yes. But you had kind of a third part which I believe was around the you know, the pricing gap, which, you know, it's on what John is getting at. But clearly, another component is our merchants are so driven by keeping a gap on our retail against the out the door We've talked about that many times. And I think that's what speaks to the third question you were getting at is, we will continue to shop aggressively competition, which by the way is clearly all retail, whether it's online, whether it's brick and mortar, at mass market, discount, or department stores or specialty, And then we will ensure, as we always do, that our out the door retail retail is below their, promotional retailer promotional retails. And we'll continue to do that regardless, you know, and that's where it gets down to item and SKU and that, you know, our teams are so good at staying laser-focused on executing that. So, that, by the way, I guess you could argue another component of being confident in our continued momentum.
Operator: Thank you, Ernie.
John Klinger: You're welcome, Brooke.
Operator: Our next question comes from Paul Lejuez from Citi.
Ernie Herrman: Hey, thanks guys. Just a
John Klinger: follow-up on the traffic and ticket. I'm curious if if it was mix that drove the basket. When you think about the higher people? So I will
Ernie Herrman: Sorry, Paul. That didn't come. Can you, repeat that first part?
Paul Lejuez: Sure. I'm curious. If it was mix that drove the basket. In terms of higher AUR, higher ticket. Or are you seeing true true price increases? Based on what's happening in the competitive landscape? Are you seeing that opportunity to take prices higher across the assortment because others are doing the same? And then I'm also just curious if you could talk about the income demographic comment. I think you said consistent performance. Was curious if you were referring to The United States specifically, or if you could maybe talk about income demographics in other geographies as well, any differences that you're seeing?
Ernie Herrman: Sure. Yeah.
Paul Lejuez: So when you break down the ticket,
John Klinger: it was a bit more of the price versus the mix. That drove that. Don't know if Ernie, do you want to expand on that? Yeah, sure. Yeah, Paul, I think it was
Ernie Herrman: combination, but I think a little bit more was due to, yes, some of the pricing, that's gone up, as selectively throughout as other prices have gone up around us. I think you've seen many reports about other retailers talking about having made some price adjustments on certain items, categories Again, we and some of those cases have followed suit. Based on what we've had to pay. In retail. But again, I go back to what I had said to Brooke at the end of that question, her third question, is we are extremely diligent on making sure we're providing in some cases, at least as good a value as we were prior. In fact, our value perception scores, which we are always monitoring, extremely strong. Of course, one would probably guess that when you look at sales, you would say that if the value perception wasn't strong, we probably wouldn't be doing these pump sales.
Paul Lejuez: So I think as John said, that was probably the chunk
Ernie Herrman: of the reason. But merchandise mix does certainly impact Again, I wanted to emphasize we do not top down drive the retail ticket. We're insisting on the right value. And then our down at the buyer and level, the ones that really determine where the retail should be. Right. There's a
John Klinger: a good part of our mix that you know, we're not buying, you know, the same thing over and over Yeah. When when we look at ticket, we're really looking at, it within the department. And so sometimes it can be a little challenging to read.
Paul Lejuez: But
Ernie Herrman: But Getting back to your income demographics,
John Klinger: the vast majority of our geographies, it was it was close. I mean, it's both income demographics that we kind of break it down and how we look at it, we're very, very close. But it was the lower income demographic that was driving the comp in the majority of our geographies.
Paul Lejuez: Got it. Thank you, guys. Good luck.
Ernie Herrman: Which Paul brings up know, because you hear you're I'm sure all of you have heard many different reports on in some cases articles about the upper end or luxury retail driving some of the, you know, again, I always emphasize the strength in our business model is that we're have a balanced approach. Right. Where we have all we try to appeal to all ages and all in condemn And we never veer off that mission really for times like this and times when things get better or times where people are struggling. We want to appeal to all income demographics. Which is why we're seeing consistent across all the income demographic bands we look at.
Paul Lejuez: All right. Just as a follow-up, is that unusual that it would be the lower income demos that are outperforming at the same time that you're seeing ticket go higher?
John Klinger: No. It's been like that for the last number of quarters. I mean, because really for quite a long time, we've been seeing strong across all income demographics that sometimes it'll tip one way or the other. That's what we're seeing is just a tipping of of it rather than a trend.
Ernie Herrman: It's not a long term trend, yeah. Yeah, so and Paul, we have
Paul Lejuez: we have
Ernie Herrman: and when John says the strength, you know, all the income demos are healthy. It's just that one's nudging a little bit In other words, a lot of we we are happy with the all the different income groups. That one's just nudged up a bit. In the in the recent.
Paul Lejuez: Broadcast. Thanks, Gus. Welcome.
Operator: Our next question comes from Alex Straton from Morgan Stanley.
Deb McConnell: Great. Thanks so much. I've got one for John and then maybe one for Ernie.
Alex Straton: So John, just on the gross margin guidance for the fourth quarter, can you talk about what changes to make that year over year expansion a little bit less than what we've seen in the last couple of quarters? And then for Ernie, a bigger picture question. A lot of discussion around AI disintermediation in retail. Especially with the use of personal digital shoppers. So I'm just wondering how you think about what these developments mean for TJ and what your broader kind of AI strategy might be more generally? Thanks so much.
Ernie Herrman: Yes. Go ahead, John. So
John Klinger: on the gross margin for the fourth quarter, the reason why is it's really how we are handling our shrink accrual for the year. Because we had a favorable shrink came in last year, so we're up against the adjustment in the fourth quarter that that brought the shrink rate down from our plan. So we have favorable shrink comparison to last year for Q1, Q2, Q3. And in Q4, we're up against a negative comparison last year. Does that make sense? Or I'm sorry. We're up against the positive adjustment last year, this year, which creates a negative compare
Paul Lejuez: Is that good, Alex, on that? Yeah.
Alex Straton: Yep. It is. Thank you. Okay.
Paul Lejuez: So and on the, yeah, the bigger picture AI question, which of course
Ernie Herrman: no topic is highlighted more than AI and the world we're in today. Our teams are all over this from a couple's perspectives. But let me emphasize that we're doing it in a TJX approach manner. In terms of where would it dovetail into helping us without us swinging a pendulum and doing something that could be counterproductive. So we are pretty aggressively evaluating and testing and deploying AI really across our business to help us work more efficiently and enhance and augment really the work our associates are doing. So you had mentioned I think, some example, but areas we would look at it right now testing is enhancing our fraud detection and security. There are aspects to that that could work out well. In store analytics, really helping with that process. Enhancing customer service. I'll give you another one. HR, where I think we're going to get some really big benefit. Is in some HR processes. Where there's a lot of information that could be somewhat cumbersome. As big as we are today, I think that's going to help streamline a lot of a lot of work for some of our HR associates there. Enhancing customer service, I think I mentioned. Marketing, a recent discussion we just had is marketing optimization. This is something going on around us. And we are taking a look. It's really at the beginning to see what processes there would benefit from us implementing AI. So we are can't tell you details, but we are taking a hard look and we'll be testing some services there. To see if we can move that further. Obviously it goes without saying we'd be looking at supporting buying and planning in a way, again, in a way that's still allows our merchants to function with the secret sauce that we do not want to be impacted by AI if that's not appropriate. So we're always very careful with that. But of course, we wanna be aware of it and look at it. And then helping IT teams deliver and operate more efficiently that would was one of the first places we were looking at this a number of years ago. And the last thing here, Alex, I would say is are also, the teams are really terrific and are I give our IT area credit that they're always looking at what are other people doing with AI. So that we're always aware competitively speaking so that we don't get blindsided on something we should have been looking at and somebody else is. So that's probably a little more info than you needed. But I think that kind of explains to you we're on
John Klinger: Part of that last comment that I already made, you know, have established cross functional governance that process that just ensures that we are thoughtfully proceeding on looking at AI.
Alex Straton: Great. Thanks so much. Good luck.
Ernie Herrman: Thank you.
Operator: Our next question comes from Matthew Boss from JPMorgan.
Paul Lejuez: Thanks and congrats on a nice quarter.
John Klinger: Thanks, Matt. Thanks, Matt.
Paul Lejuez: So
Ernie Herrman: Ernie, could you elaborate on just on the overall acceleration
Matthew Boss: at Marmaxx, new customer acquisition, relative to expanded basket from your existing core And and if you could elaborate on the strong start to the fourth quarter, have you seen any softening in business or just opportunities that, that you see for holiday this year?
Paul Lejuez: So
Ernie Herrman: you're you're you're laying it up for me here, Matt. It's a new Always early.
John Klinger: Yeah. I appreciate it. Now the new customer
Ernie Herrman: acquisition, clearly, we're it's funny. We just talked about this a week ago, I do it my marketing team in the analysis group there. We're clearly capturing new customers consistently and above the balance that we did before. We're getting equal equal momentum from that as well as our infrequent and frequent customer spending. I think we have I give the Marmaxx team credit on just really terrific execution. They have right now, if you look in the store, a very balanced mix across all the families of business. And that's one reason I think we're capturing the market share we're capturing, which is apparel has kicked in. By the way, we sometimes talk when weather has been against us. I would tell you right now weather has helped us recently. So, that certainly is a plus in Marmaxx on certain categories. But when you look at our apparel and non-apparel business there, it's healthy across the board. So yeah, I think you start to touch on this, Matt. There is no area that's really lagging too much. Otherwise, by the way, we wouldn't it's hard to have Marmaxx run a six comp if we did have a high liability department that wasn't performing. So that's been you know, really strong. Their inventory position, now you go to kind of the root of what's going on and why I have the continued confidence back a little bit back to Brooke's first question is the availability in the market is just, I've used this before, the off the charts. I didn't use it in the script, but it's off the charts. So we have so much availability across the brands in many categories. And some more availability in some of the categories that we haven't seen in a while. So I think that is going to bode well for our next quarter. And when you're consumer right now, given the lack of excitement at retail around us, that's making them very open to trying us. Which is why, you know, we have really strong holiday marketing campaigns set up that really talks to our value leadership over next couple of months. And that's why I mentioned on the script, we're so excited about the different marketing creatives, which are really aimed at keeping us top of mind with consumers and are encouraging consumers that haven't tried us to try us for the first time. And that's why I think the new customer and infrequent customers in customers that may have shopped us a year ago and haven't been back That's what our marketing is aimed at, taking advantage in this environment.
John Klinger: And then I'll just reiterate what Ernie has said upfront.
John Klinger: Earlier in the call that we continue fund payroll appropriately in the stores We continue to invest in remodels in the stores. We've got fixtures that make it easier for customers to shop the stores
Operator: Thanks. Good morning. Ernie, are there any categories Morning. Ernie, are there any categories or customer demographics where raising prices has been less successful? And how quickly can you pivot if you see pushback to some of this price over the holidays? David: Yes, great question. We we
Ernie Herrman: actually I won't say what it is. We have one category, only one, you know all the categories we have, where we weren't happy. We pivoted back and brought the retails right back to where they were pre the adjustment. Other than that, would say we're 95% successful on the pricing strategy. Again, we don't lead the pricing strategy. We wait for the market around us. So even on that one category, what must my guess is our competitors on that category probably had to adjust their retails too, because we only went up when their retails were going up. And then we found out if it wasn't good for us, there's there's no way it was good for them. So, no, other than the one I'm thinking about, we have been successful across the board Having said that, just on some we've had couple of items. I'll hear it from a couple of the merchants where we tried this one and this one SKU, even though it was in a category where it's worked across the board. We might have a SKU that didn't work because it might just not, it might be bumping up against something or whatever. In our own mix. Because sometimes they have to compete in our own mix And even the pricing, if it went up around us, and we try to take it up because it went up around us it's still hanging with our other goods. Sometimes it doesn't work. So But absolutely, Lorraine, 95% success And very few, we're very careful on it. Which is why not only do we judge it off the actual hard data where we watch selling by SKU, every week. We also use our value perception scores. We keep a constant pulse on that. And the speed at which we turn our inventory gives us the flexibility to react quickly. Great point, John. Yep. Yep. Thank you, guys. Good question, Lorraine. Yeah?
Operator: Our next question comes from Ike Boruchow from Wells Fargo. Hey, good morning guys. Congrats
Ernie Herrman: Two from me. Similar to Lorraine's question, Ernie,
Deb McConnell: are there categories that you've intentionally deemphasized or pushed harder because of tariffs because you look at the economics of each category. Just kind of curious how you think about that. And then, look, clearly, business is not seeing any issues. But you know, very high level, I'm sure you guys have tons of KPIs or markers you look at to kind of judge The U. S. Consumer Is there anything that you've seen over the past couple months kind of going into holiday that at all shows you that The US consumer is under some level of pressure. I think it's still a debate at this point. Just kind of curious how you guys view that at a high level.
Ernie Herrman: Sure, Ike. On the first one, the d, you know, the d deemphasizing category, so to speak, if we were running into a tariff We have done that to a little degree. What's happened though, the cycle tends to come back because when they're imported like that, eventually their other accounts kind of back up And so if people back off enough, again, we're not not the importer. So we're able to negotiate through the third party. And we just might have a lag. We don't consciously deem deemphasize over the long term. We just might take what's called our internal sales and inventory plans. They're called ladder plans. We might take those down for a couple of months, but then the market cycles back. We've seen that happen in numerous times. Because you know, we're not ready to take a big price increase if the vendors are coming to own a category if we can't show the great value. So it kind of works its way through the system. So a great question That's in those cases, and yes, we have done it in a couple of cases, we just wait for the cycle to come back to us in a couple of months. Tariffs overall, I mean, we we don't really get different data than what all of you get. We can see that prices have been going up across many retailers and many categories. And it's been talked about as either it's been done or they're looking at doing it. And I would, my barometer for our other retailers struggling a little is the fact that the availability of merchandise across the board is so high across good, better and best that would lead us to believe that other retailers are struggling with some of the impact of the tariffs, I guess. So but again, we don't get any outright. That's just a pulse from what we what we see in the market. Yep.
Deb McConnell: Very helpful. Thanks.
Operator: You're welcome. Our next question comes from Michael Binetti from Evercore ISI.
Deb McConnell: Hey guys, great quarter. Thanks for taking our questions here.
Ernie Herrman: I had a couple on the margin. First, on the gross margin,
John Klinger: So in third quarter, you'd I think you'd started the guidance at about five to 15 basis points of improvement on a two to three comp. You obviously beat it by a lot. Sounds like freight was a key upside driver. So a couple of questions on that. Just since the shrink dynamic should be kind of contained to fourth quarter, does that freight benefit roll off in fourth quarter? Could you talk a little bit about what's driving freight, if that's something that could contribute after fourth quarter? Secondly, I'm also curious if there was a mismatch of any kind in the quarter between tariff costs and pricing, also what that dynamic looks like in fourth quarter. Sounds like you expect to offset tariffs. But I'm wondering if that if the tariff headwind does get tougher in fourth quarter. And then finally, just on I guess, the pretax margins more broadly, are there any early signals of margin headwinds we should keep in mind as we look at our models for next year, either across the company or at the Marmaxx or HomeGoods divisions.
Deb McConnell: Yeah. So Michael, just on the freight piece. So for for freight, it was a combination of favorable ocean rates and efficiencies that we
Ernie Herrman: we implemented as far as movement of our merchandise.
Deb McConnell: And that's really what drove that freight piece.
John Klinger: And then as far as tariffs go,
Deb McConnell: I mean, q '2, Q3, Q4, I mean,
John Klinger: tariffs are pretty consistent as far as
Deb McConnell: what we're seeing. We have every confidence that we can do exactly what we did in the second and third quarter in the fourth. So as I said in my
Ernie Herrman: closing comments,
Deb McConnell: we are very confident in our ability to continue to navigate the tariff environment.
John Klinger: Is that freight dynamic something you think continues after fourth quarter? Or is that something that's just contained? It's really up to the freight
Deb McConnell: the ocean freights providers. I mean,
John Klinger: if they start taking ships off
Ernie Herrman: off offline and try to
John Klinger: decrease the surplus or availability, I mean, it's hard for me to answer that.
Deb McConnell: It's asking me to look into the future. Can say that what we've been seeing in the
John Klinger: third quarter is that we did see a savings in the ocean freight container rate. Okay, so it sounds like it's more related to SPOT than contracts. A little less visibility. And then any other new, headwinds to think about as we look at the models next year?
Operator: No.
Deb McConnell: Yeah. The what I'm I'm not prepared to talk about next year right now.
John Klinger: We're still in the process of
Ernie Herrman: of pulling our plans together. Okay. Best of luck in the holidays, guys. Thanks a lot. Thank you.
John Klinger: Our next
Operator: question comes from Cory Tarlow from Jefferies.
Ernie Herrman: Great. Thanks and good morning. Ernie, you commented on the value perception scores Curious how you think about your value gaps today versus historically, within the context of what you've seen from competitors and then also kind of the shape of the comp throughout the year. Given your comp was initially driven very much by traffic to start the year.
Deb McConnell: Mhmm. And sort of the commentary has felt
Ernie Herrman: a way that it's evolved
John Klinger: to be a little bit more driven by price,
Ernie Herrman: but not so much so that it's eroded your value gaps is what it I think is is the point, but curious to get your perspective on that. Thanks so much. Yeah, Corey, spot on. That you summed that up, very balanced is the way we would look at. The value gap today, by the way, I would tell you has improved from where it was even a couple of years ago in terms of a couple of things. I still believe part of the value equation, which is kind of evolved, over the last number of years, is the shopping environment that we provide to go along with the merchandise is creating I think an even larger value gap. Between us and the other retailers. And I think if you look at our shopping in our store versus other off pricers or other specialty stores or department stores or larger discount stores. I think you would find a very efficient, clean, organized and then treasure hunt all at the same time. Combined with believe the perceptions are spot on where our values have even improved out the door retail versus others. The gap has improved. So across the board, I would say we have improved there versus historic comparisons on terms of total value The shape of the, I think you were asking about the shape of the comp and that being driven, it would have been a little bit more transactions you were feeling, but part of this is the retail. It was only I think it was only HomeGoods where the right Well, home goods was essentially flat. Right? And the others were still up. Yeah. So that's why I said your comment was spot on where it's kind of an in between, and we're feeling really good about it. Because again, I think there is major value gap between us and everybody else. And as John said, we've had we've had these pricing things, but clearly it does not impact any value per perception at all.
Deb McConnell: Exactly. Again, driving a five comp and being strong across
Ernie Herrman: every Yes, every bond. Our division. Yes.
Deb McConnell: It was was, you know, really positive to see.
Ernie Herrman: I would throw in a bigot. Now you can appreciate that this hasn't come up yet, but my biggest challenge, for this organization is when you have such strong sales momentum, which keeps getting better is for us to not get over our skis and buy too much too soon. So I think we've talked about that before, even a year ago. One reason we are delivering the year we're having is keeping a lot of liquidity. And our merchants are able to be very entrepreneurial and very on their buying. And that's when we provide the most exciting value branded off price closeout goods to the consumer. And so that continues to be a focus is to make sure with all this availability that's out there, and combined with our strong sales, we just need to fight urge to buy too much too soon. Know what I mean, Corey? That would probably be our biggest challenge right now because that's the number one way we still can continue to drive our sales. And profitable sales. Yeah, certainly. That makes a lot of sense. And then I just had a quick follow-up for John. You mentioned in Q4 that SG&A was, 30 basis points I believe, favorable or expected to be. Could you just unpack that for us a little bit? Thanks so much, and and best of luck. Yeah, sure. So it's it's gonna be a combination of incentive accrual favorability versus last year and expense savings. So last year we adjusted our our incentive accruals in the fourth quarter So we're comparing to that. So
Deb McConnell: have a year over year favorability there. Okay, great. Thank you and best of luck.
Ernie Herrman: Thank you.
Operator: Our next question comes from Jay Sole from UBS.
Ernie Herrman: Great. Thank you so much.
Deb McConnell: Ernie, my question is if you just take a step back and think about this has been a year with an unprecedented level of tariffs. And you're talking about availability of inventory. I think you just said it was off the charts.
Ernie Herrman: Does it surprise you at all
Deb McConnell: that in the year when you would think people would be making less product, importing less product, that you have seen someone should go availability. And if it does, you know, how do you explain it?
Ernie Herrman: Yeah. No. Great question, Jay. I have to tell you, yeah, a little surprise on the degree to which the availability is there. Because to your point, back when I go back in the spring, when all of this was just starting to evolve, and we get you know, we there were some categories where by the way, some categories back then, we wouldn't have worried about availability, only because they're they wouldn't have been impacted as much by the tariff. It would have been a more moderate tariff. And then there are others where we might have expected a little less availability. And so, a little bit. We always thought they'd be good availability. Remember, you're never gonna hear from me. A concern about not having enough goods across the board. Maybe in a category at the but you're never gonna hear a concern, even with tariffs. About us not having enough goods the way the model works. And the way, by the way, and the way we have we have seasoned pros in all of these areas in merchandising and planning that can bob and weave to dynamics out there. But yes, to your point, I think the degree to this, how do I explain it? I think part of the reason you explained it is you have public companies that are retailers that still have to bring in, whether it's the e com players, that still have to bring in goods. They're not shutting down their websites. So they're having to buy goods eventually. Maybe they've massaged it and moved from one category or less with one brand or more with another because of the tariffs, but still creates excess inventories. It is still a down the supply chain when things slow up at retail, again, they're public. They just, they can't afford to have a 20% decrease. In their So they're not cutting their spending. Do you know what I mean there, Jay? They can't cut their ordering as a extreme as the tariffs would maybe tell them they do. So I think what happens is they might be less bring in less units but they're gonna bring in the dollars that equate given the tariff. And then if those sales don't materialize, we still end up with the extra supply of closeouts. And that's what I think is, as well as I think retail across the board has been a little choppy and that's creating the excess inventory. So the yeah. Interesting dynamic. Again, this is where I like to give credit to our teams because bottom up the teams assess in each area how much because we buy in a few different ways. So they know how to weigh their core flow is coming from with certain vendors, and yet all the opportunistic side. We wouldn't be in this really good inventory position. We'll still be in liquidity if our teams weren't so good at executing. At that level. So that's where, again, very proud of what they've done in this environment. As you said, very challenging year. Got it. Thank you so much. Thank you.
Operator: Our next question comes from Adrienne Yih from Barclays. Good morning. Let me add my congratulations. Ernie, we've been in the store throughout the quarter. And I was wondering I mean, they're extraordinarily long lines. I was wondering if you had been seeing sort of earlier cadence to the holiday shopping behavior and or promotionality Obviously, Walmart pulled forward their Black Friday. Just wondering what you're seeing there and if you expect a shift in the holiday season And then, John, for you on you've done a ton of work on supply chain and transfer transportation logistics over the past couple of years. Outside of the freight tailwind, are you expecting to see sort of a longer term go forward positive impact And does that change the leverage point of on gross margin? Thank you.
Ernie Herrman: Questions, Adrienne. Yeah, no, we haven't we don't believe there's necessarily a perp on our part, there's no purposeful shift to thinking we're doing earlier. Again, as we've said, we're off to a strong start. We like the way we're positioned in November. Already. Which obviously indicated we were happy with our traffic, and you've been witnessing it evidently. I think what's also happening is I didn't get to talk about this earlier, but we, every year, our Q4, as you've seen, has been one of our steadiest performing quarters where we have become more of a gift giving destination. And I think that's at the root of it. I think all of the we've also talked about this. The social media, the the coolness of shopping at The TJX Companies, Inc. store, whether it's Marshall's or Sierra or HomeGoods or TJ Maxx, you probably I don't know if you see them. A lot of our reusable bags show up with shoppers that bring them to their supermarkets because we've made such an impact on consumers. And they find us to be a desirable place to show their brand. So I think as they've gotten acclimated and more desirable to shop our brand, I think that makes them think of us more for gift giving than ever before. Which is also a reason I think you're you're seeing that. It's nothing that we purposely did for an event per se or a timing thing. I think it's the nature of the brand equity and the coolness factor that we've developed over the last handful of years. That's yielding a little bit of an earlier earlier shop of us in November.
John Klinger: Okay, thanks. Yeah. And so
Deb McConnell: getting to the second part of your question,
Ernie Herrman: I mean, of all, the leverage point we still see again, just repeating on a three to four comp,
Deb McConnell: with no outsized expense increases. We still anticipate being flat to
John Klinger: 10 basis points. That's not changing. We don't see that changing right now. As far as the supply chain goes,
Deb McConnell: I mean certainly with
Ernie Herrman: a higher ticket, we just have to, we
Deb McConnell: we were more efficient in our operational areas. There's less units to move to hit the same top line. But, you know,
Ernie Herrman: in addition to that, we're always looking for ways to increase the
Paul Lejuez: efficiency of our facilities. And
John Klinger: looking to
Paul Lejuez: rather than open up a new facility as sales go up, which we still have to do. But where we can, if we can expand a facility to increase the capacity, that certainly is something we always look to do as well.
Operator: Fantastic. Best of luck for holiday and see you in December.
Ernie Herrman: Thanks. Thank you.
Operator: Our last question comes from Mark Alschwager from Baird. Great. Good morning. Thanks for taking my question.
Paul Lejuez: First, on segment margins, the delta between HomeGoods and Marmaxx is the narrowest we've seen in some time. Just talk about the key drivers to narrowing that gap and whether you expect that convergence to continue?
Deb McConnell: Thank you.
Paul Lejuez: I mean, so I mean, both divisions are performing, you know, doing outstanding job at driving both the top and bottom line. Certainly some of the freight benefits that we've seen over time, I mean, because of the size and nature of the product have benefited HomeGoods a little bit more. But look, we're very pleased with with both of our US divisions. Both our US segments. But nothing more to add. It's just driving the top line. I mean home goods has been very consistent at driving that top line. And and that's one of the biggest levers we have to increase the pre tax profit.
Ernie Herrman: Yeah, Mark, I think I would jump up. Mark, just adding a little flavor to the merchandising to what John was saying is they've also they're constantly creating newness of vendors there. And And always super fast turning business, as you know. And so I think they've been, you know, they're very in terms of the merchandise vendor content. I think has been able to help them on their merchandise margins, which probably is also a big benefit terms of their operating income getting a little closer. To Marmaxx.
Paul Lejuez: Excellent. Best of luck this holiday.
Ernie Herrman: Thank you. Thanks. I'd like to at this point thank you all for joining us today. We look forward to updating you again on our fourth quarter earnings call in February. You everybody.
Operator: That concludes today's conference. Thank you for participating. You may disconnect at this time.